Operator: Welcome to the RLJ Lodging Trust First Quarter 2024 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] I would now like to turn the call over to Nikhil Bhalla, RLJ's Senior Vice President, Finance and Treasurer. Please go ahead. 
Nikhil Bhalla: Thank you, operator. Good morning and welcome to RLJ Lodging Trust 2024 First Quarter Earnings Call. On today's call, Leslie Hale, our President and Chief Executive Officer will discuss key highlights for the quarter. Sean Mahoney, our Executive Vice President and Chief Financial Officer, will discuss the company's financial results. Tom Bardenett, our Chief Operating Officer, will be available for Q&A. Forward-looking statements made on this call are subject to numerous risks and uncertainties that may lead the company's actual results to differ materially from what had been communicated. Factors that may impact the results of the company can be found in the company's 10-Q and other reports filed with the SEC. The company undertakes no obligation to update forward-looking statements. Also, as we discuss certain non-GAAP measures, it may be helpful to review the reconciliations to GAAP, located in our press release. I will now turn the call over to Leslie. 
Leslie D. Hale: Thanks, Nikhil. Good morning, everyone, and thank you for joining us today. We are pleased that our momentum from last year has continued, with our first quarter results once again exceeding the industry. These results were in line with our expectations, which anticipated the impact of the holiday shift in March. Against this backdrop, we were encouraged to see urban markets once again lead the way for the overall industry. During the first quarter, in addition to delivering RevPAR growth, and growing our RevPAR index, we executed on a number of fronts, including making progress on our next wave of conversions, expanding our pipeline of conversions with the acquisition of the Wyndham Boston Beacon Hill, executing multiple high return ROI projects, and taking steps to further ladder our debt maturities. Overall, our relative outperformance during the first quarter continues to demonstrate our multiple channels of growth. With respect to our operating performance, our first quarter RevPAR increased by 1% over last year, primarily driven by an increase in occupancy. As we expected, our growth was constrained by the shift of Easter into March, which muted citywide and other group activity during the most significant month of the quarter. Additionally, cold and rainy weather in California and South Florida negatively impacted these markets during the quarter. In light of this, we were pleased by our portfolio's RevPAR growth, which outperformed the industry by 80 basis points, and we also gained 110 basis points of market share, underscoring the growth profile of our portfolio. The growth in our portfolio was broad-based with a number of our urban markets achieving mid- to high single-digit RevPAR growth. Urban markets are continuing to benefit from robust group activity, improving inbound international demand and most notably, a steady improvement in corporate travel. From a segmentation perspective, our business transient revenues outpaced our other segments during the quarter, with BT achieving revenue growth of 13%, driven by a balanced contribution between occupancy and ADR. The recovery of business transient is benefiting from continued strength in travel from SMEs in addition to the broadening of corporate travel across industries such as consulting, technology and financial services, which is being aided by the return-to-work office mandates. This improving corporate demand enabled our midweek RevPAR to grow by 2.4% during the quarter. Relative to group demand, the strong booking momentum from last year continued during January and February, which achieved robust revenue increases of 10% and 9%, respectively. The strength of demand led our group ADR to increase by approximately 3% during the first quarter, despite a soft March. We expect group demand to remain strong for the remainder of the year as evidenced by our full year pace at 106%, with the third and fourth quarters being the strongest of this year. Leisure demand remains healthy, as demonstrated by our leisure revenues increasing by 2% during the first quarter, driven primarily by the strength of our urban leisure, which increased by 3%. Urban leisure continues to be bolstered by a robust volume of social events such as concerts and sporting events. Additionally, over spring break, our leisure also benefited from our suite mix, which represents 50% of our portfolio. Our top line growth was amplified by our 7.7% growth in our out-of-room spend, which was driven by the continuing success of our ROI initiatives, leading to total revenue growth of 3.1%. We are also encouraged by the improving operating expense landscape with the growth of cost per occupied room continuing to decelerate. Our top line growth translated to hotel EBITDA margins of 27.4%. From a capital allocation perspective, we are seeing strong returns from our investments. During the first quarter, our conversions in Charleston, Mandalay Beach and Santa Monica achieved 26.5% RevPAR growth. The strong ramp that these properties are achieving further bolsters our confidence in our ability to unlock significant value in our next wave of conversions. We remain on track to complete the conversion of the DoubleTree Houston Medical Center, Hotel Tonnelle in New Orleans, and The Bankers Alley in Nashville this year. Additionally, we are advancing on the planning of our conversion of the Wyndham Pittsburgh University Center to a Courtyard, and the Renaissance Pittsburgh to Marriott's Autograph Collection, both of which will be delivered in 2025. During the first quarter, we expanded our pipeline of conversion opportunities by acquiring the fee-simple interest in the Wyndham Boston Beacon Hill. We have made great progress with our plans to unlock the embedded value at this hotel, which sits in an irreplaceable A+ location surrounded by Mass General Hospital that is undergoing a $1.8 billion expansion. We remain confident that we can unlock over 40% of EBITDA upside following the repositioning of this property. We expect this property to be included in our next phase of conversions and we'll give more color later this year. In addition to our large-scale conversions, we are unlocking additional embedded value across our portfolio by also prioritizing our investments in markets poised to outperform. Since the beginning of the year, we have been executing on a number of high-return ROI projects to increase out-of-room spending by reimagining and optimizing non-revenue generating space. For example, at the Residence Inn in Bethesda, we took advantage of our rooftop with city views to create a new bar and entertainment space. At the Embassy Suites LAX, we transformed the lobby, creating multi-functional social and small group meeting space. At the DoubleTree, Austin, located adjacent to the State Capitol, we added new guest rooms and elevated the lobby bar. At the DoubleTree Suites, Orlando, at Disney, we reimagined the lobby to incorporate a new, very profitable market. And at the Embassy Suites Deerfield Beach Resort, we created a new indoor, outdoor ocean-front bar and added a new profit center in the form of a Sundries Market. Our group mix, and banquet and catering revenues are already seeing the benefit of these space reconfiguration projects. We expect these ROI projects to continue to ramp through the remainder of this year and contribute to our total revenues, achieving growth ahead of RevPAR. In addition to our internal investments, our pipeline of external growth opportunities has continued to build. Our competitive advantage as an all-cash buyer is enabling us to build an actionable pipeline. That said, we will continue to maintain our discipline as we have demonstrated. As we look ahead, we are cognizant of the macroeconomic uncertainty that exists. However, we remain constructive on the outlook for lodging fundamentals for the rest of the year. Our outlook is supported by the continued momentum in the recovery of business transient, the outsized growth trends in urban markets, especially those with healthy citywides, leisure attractions, and special events, and exposure to inbound international travel. We believe that the momentum in these segments should allow urban markets to continue to outperform the industry. For the second quarter, we expect RevPAR growth to sequentially improve from the first quarter. May is forecasted to be the strongest month of the quarter, given robust citywide activity in a number of our markets such as Boston, Washington, D.C., Southern California, as well as our Louisville market, which will benefit from the 150th anniversary of the Kentucky Derby. As we move into the second half of the year, we expect RevPAR growth to strengthen further due to citywide calendars and the location of many large scale events. This will be favorable to our portfolio given our footprint in markets such as Boston, which will continue to benefit from citywides, in addition to robust business and international travel, supported by the growth in financial services, biotech and education. Southern California should benefit from a healthy citywide calendar, growth from our conversions in Santa Monica and Mandalay Beach, and improving business transient demand from aerospace and a backlog of demand from Hollywood-related industries, as well as increased inbound international travel, especially from Asia. And Washington, D.C. will benefit from a strong citywide calendar in the second half of the year. Collectively, this should allow us to continue to exceed industry growth. Longer term, we remain optimistic about the trajectory of lodging fundamentals, which should benefit from growth in all segments of demand, given the ongoing consumer preferences towards experiences, especially against the backdrop of an elongated period of limited new supply. Relative to these dynamics, our urban-centric portfolio is well positioned. I will now turn the call over to Sean. Sean? 
Sean Mahoney: Thanks, Leslie. To start, our comparable numbers include our 96 hotels owned throughout the first quarter. Our reported corporate adjusted EBITDA and FFO include operating results from all sold and acquired hotels during RLJ's ownership period. As Leslie said, we were pleased to report solid first quarter operating results, which were in line with our expectations and demonstrated the strength of our high-quality urban-centric portfolio. Our first quarter RevPAR growth of 1% was driven by a 1.2% increase in occupancy, which was slightly offset by a 0.1% decline in ADR. First quarter occupancy was 69.3%, average daily rate was $199, and RevPAR was $138. As was noted, our business transient and midweek outperformed. First quarter business transient RevPAR grew 11.6% above 2023, including ADR growth of 5%, and occupancy growth of 7%. The strength in business transient was demonstrated by our weekday RevPAR growth of 2.4% above 2023, which was primarily driven by occupancy gains. RevPAR growth remained healthy in many of our urban markets, including Boston at 12%, Houston CBD at 9%, Indianapolis at 17%, San Francisco at 5%, San Diego at 8% and New York at 5%. Monthly RevPAR growth during the first quarter was 5.8% in January, 0.5% in February, and declined 1.9% in March, primarily due to Easter timing. Total first quarter revenue growth benefited from continued out-of-room spend and increased 3.1% for the first quarter, including 6.2% in January, 6.1% in February, which benefited from an extra leap year day and declined 1.3% in March. Turning to the current operating cost environment, inflationary pressures continued to normalize during the first quarter. On a per occupied room basis, total hotel operating cost growth was limited to 2.9%, which was 50 basis points lower than fourth quarter, underscoring the benefits of our portfolio construct and our initiatives to redefine our operating cost model. Drilling down further into hotel operating expenses, fixed costs such as insurance and property taxes were the most significant driver of the year-over-year increases in hotel operating expenses, increasing 15% during the first quarter. The increases in fixed costs are impacting most industries, and are not specific to the lodging industry. We are encouraged by the improving trends in our more controllable variable hotel operating costs, which grew 4% above 2023, or only 1.6% on a per occupied room basis, and represented sequential improvement of 210 basis points and 70 basis points respectively from the fourth quarter. There are many factors that influence these positive results, with the most significant contributors being the successful restructuring of many of our third-party operating agreements and our lean operating model. During the first quarter, our portfolio achieved hotel EBITDA of $88.9 million and hotel EBITDA margins of 27.4%. We were pleased with our operating margin performance, which was only 152 basis points lower than the comparable quarter of 2023 despite continued cost pressures. Turning to the bottom line, our first quarter adjusted EBITDA was $79.6 million and adjusted FFO per diluted share was $0.33. We continue actively managing our balance sheet to create additional flexibility and further lower our cost of capital. Early in the second quarter, we addressed our 2024 maturities. Today, our balance sheet is well positioned with $400 million available under our corporate revolver, our current weighted average maturity is approximately 3.4 years, and 88 of our 96 hotels are unencumbered by debt. We ended the first quarter with an attractive weighted average interest rate of 4.29% and 82% of debt either fixed or hedged. As it relates to our liquidity, we ended the quarter with approximately $350 million of unrestricted cash, $600 million of availability on our corporate revolver and $2.2 billion of debt. With respect to capital allocation, we remain committed to returning capital to shareholders through dividends, while investing in ROI projects, opportunistically buying back shares and selectively pursuing acquisitions. Our current quarterly common dividend is $0.10 per share, which is well covered and supported by our free cash flow. We will continue making prudent capital allocation decisions to position our portfolio to drive results during the entire lodging cycle, while monitoring the financing markets to identify additional opportunities to improve the laddering of our maturities, reduce our weighted average cost of debt, and increase our overall balance sheet flexibility. Turning to our outlook. Based on our current view, we are reaffirming our full year 2024 guidance that assumes the continuation of the current operating and macroeconomic environment. For the full year 2024, we still expect comparable RevPAR growth between 2.5% and 5.5%, comparable hotel EBITDA between $395 million and $425 million, corporate adjusted EBITDA between $360 million and $390 million, and adjusted FFO per diluted share between $1.55 and $1.75. Our outlook assumes no additional acquisitions, dispositions, refinancings or share repurchases. We still estimate 2024 RLJ capital expenditures will be in the range of $100 million to $120 million, net interest expense will be in a range of $91 million to $93 million, and cash corporate G&A will be in a range of $35 million to $36 million. With respect to the second quarter, we expect our RevPAR growth to be below the midpoint of the full year outlook range due to softness in April RevPAR, given the negative impact of Passover on group demand during the second half of the month. Finally, please refer to the supplemental information which includes comparable 2023 quarterly and annual operating results for our 96 hotel portfolio. Thank you, and this concludes our prepared remarks. We will now open the line for Q&A. Operator? 
Operator: [Operator Instructions] Your first question comes from Michael Bellisario with Baird. 
Michael Bellisario: First question is for Sean, just on the debt market, maybe why use the line of credit versus something more permanent to repay the CMBS loan that was maturing? Maybe just high level, what was your philosophy there and the economic benefit of doing so? 
Sean Mahoney: Sure. Thanks, Mike. We -- in short, the answer is that the line draw was the most efficient source of capital that we had. We ran a process and obtained quotes from multiple debt sources during the first quarter, and we concluded while the other markets are open and actually efficient from an overall cost of debt and a cost of borrowing perspective, the line, which still has 3 years remaining of initial tenure and was recast last year was the most efficient use of capital, and it would save us on an annual basis several million dollars of interest rate savings by doing that. I think, as we look forward, we acknowledge that the line was a vehicle in light of the current financing markets. We will look to perm out that financing sometime later this year or early next year is how we're thinking about it, but it's going to be based on how the credit markets evolve, but we've preserved our optionality to do that. 
Michael Bellisario: Understood. That's helpful. And then just switching gears, maybe a bigger picture question on CapEx, just first on the recurring front for properties, maybe where are costs today? How much have they moved versus either 2019 levels or compared to a year ago, for example? How are you thinking about when and where to renovate? And then similarly for your conversions, are renovation costs being higher, impacting your underwriting or return expectations at all? 
Leslie D. Hale: Mike, we'll tag team on this question. I would say that on the renovation side, I actually find your question interesting. I would say a year ago, we were eating into our contingency on most projects and that more recently, in the last sort of 3 quarters or so, we've been getting our contingency back, which means that the cost renovations have stabilized from a standpoint of inflationary pressures around inputs and labor relative to our renovation pool. So we feel good about the way we've been estimating and how they've been performing. 
Sean Mahoney: And the things that are driving that is obviously the supply chain and inflationary impact has waned is one. The second is that our contractors and subcontractors are more hungry today, right? The labor issues that they dealt with, with getting bodies in place has waned, which has allowed them to be much more competitive in how they're bidding. And then third, we've been able to leverage our scale from our design and construction team such that we are a preferred bidder, if you will, for this work. And so we've used all those things which has translated into lower cost for our renovations. 
Thomas Bardenett: And lastly, Mike, the choices in regards to where we've spent dollars, I think if you look at Leslie's prepared remarks, you'll see those are growth markets. And where we've really allocated dollars is where we see ROI opportunities, not just the conversions, but those Atrium Evolution opportunities where we can create meeting space and have more banquet sales in addition to group mix. So that's where we were thinking about allocating dollars. And I think you'll see that in our ROIs as we continue to have growth above and beyond just the conversions that we're doing. 
Sean Mahoney: Yes. And I think we've outlined on prior calls that we go through a very robust prioritization of spend on our conversions. We have a very similar process for renovations, to Tom's point, around prioritizing renovation dollars in the highest return markets. The other thing is that we've been capturing the trend around activity that's going to drive out-of-room spend. As you've seen that in our first quarter results and our results last year, we are continuing to prioritize capital that is going to maximize out-of-room spend because we think that has tremendous returns associated with it. 
Operator: Next question, Tyler Batory with Oppenheimer & Company. 
Tyler Batory: I really want to dive into the commentary on April and what you're seeing in Q2 overall. Sorry if I missed this, but can you tell us what April RevPAR was? And it sounded like from the commentary, April, there maybe a comp issue, maybe something going on with group business, but there's a lot of concern in the market about just the health of the consumer broadly and what's going on with leisure travel. So, if you could just touch on what you're seeing right now, just kind of help us think about a little bit more what's driving some of the softness in April? 
Leslie D. Hale: Yes, sure. So there's a lot impacted in your question, Tyler. So I'm going to try to address it all. First, let me just say this more broadly, which is that we're not seeing anything today that changes our view of the cadence for the year. And so your question on April, our April, we're still closing the book, but it's going to be sort of flat to slightly down. But you really have to deconstruct April. And if you look at the first half of April, April was relatively strong, all the segments performed well. When you look at the back half of April, group was clearly impacted by Passover and that obviously had an impact on us for the month of April. But we don't believe based on how the first half of the month performed, and any read through on underlining fundamentals. And when we deconstruct the actual performance of April, we see in our preliminary numbers that demand is actually up. Rate was down and that makes sense because group is our highest rate of segment today, and that's what was impacted. But when we look at the cadence for the year based on the current trends we see, there's no change in our view. We still expect Q1 to be the slowest quarter of the year. We expect Q2 to be better than Q1. As we mentioned in our prepared remarks, we do expect Q2 to be below the midpoint of our range because of April. But we are seeing the trends shaping up for May for reacceleration based on May's normal pattern, but also because of our footprint. We talked about in prepared remarks number of markets like Louisville, which is going to benefit from the Kentucky Derby. Tom can give some more color in some other markets. And then we expect June to be healthy as well as we move into the summer. When we look at group, third and fourth quarter are expected to be the strongest quarters for us. And so we still expect the same strength in the back half of the year as we had at the beginning of the year on that. What I would say though is, is that, we're very sober about your point on the consumer. The fact of the matter is, is that the Fed is trying to slow the economy. We see that reflected in the lower end of the consumer spectrum, whether it's in the form of their spending, their credit, and/or what's happening in the economy sector for hotels. If the Fed is successful in slowing the economy, travel will not be immune to the impact of that. Having said that, we're not seeing it in our numbers and the trends that we see today. And that's also supported by the fact that the Fed didn't take an action most recently on that. So in terms of what we are seeing, we are seeing BT continue to steadily improve. It was up 12 points for us in the first quarter. We're seeing group remain strong. Our pace is at 106% with third and fourth quarter being the strongest months on that. We're seeing urban leisure remains strong. Our leisure was up 2% in the first quarter. Urban leisure was up 3% relative to that. And so we're monitoring it, this real time perspective. We do have a transient portfolio, but, you know, by and large, depending on the success of the Fed, it could have an impact on where we land within our range. But we're not seeing that today. So there's nothing today that we see that changes our cadence nor changes our view on the strength of the back half of the year. 
Sean Mahoney: And then wrapping all that up, Tyler, I think we still remain confident that our portfolio, as it's demonstrated over the last year and in the first quarter, will continue to outperform the industry. And I think that's the... 
Leslie D. Hale: That's the baseline. 
Sean Mahoney: Takeaway, yes. 
Operator: Next question, Austin Wurschmidt with KeyBanc Capital Markets. 
Josh Friedland: Josh Friedland on for Austin. Just wondering, given the limited visibility in recent trends, how comfortable are you with the acceleration implied in RevPAR guidance? 
Leslie D. Hale: Look, I would say that, our portfolio is indexed to urban. Urban is indexed to BT. The strength that we're seeing in BT is going to play a role in our cadence for the year. But urban is benefiting from all segments right now. As I mentioned before, BT continues to steadily improve, group remains robust, and urban leisure is healthy. In addition to our conversions, which we outlined in our prepared remarks, we're going to benefit from that as well, and our overall footprint. And so I would say to you that based upon what we know today and what we're seeing, we've reaffirmed our range. We've looked at a variety of different scenarios and of different outcomes, and those scenarios still fit within the range that we provided. 
Josh Friedland: That's helpful. And just wondering, how much of a RevPAR benefit could you potentially see from any incremental international inbound and any markets you would call out there? 
Leslie D. Hale: Yes, I would say that, when we look at our footprint -- and I'll let Tom give some color on Asia, but when we look at our footprint, New York, San Francisco and South Florida are typically our markets that have the strongest amount of international. In aggregate for our footprint, international historically has only represented about 3%, but for markets like New York, San Francisco and South Florida, it was much more substantial. South Florida and New York are generally back at 2019 levels from an international perspective, but Asia is not back on the West Coast. 
Thomas Bardenett: And to give you a little color around China. So what we're seeing is flights are increasing in '24 versus '23, and the primary reason it's -- you know, visas -- collecting a visa is only taking about 8 days. And so we're seeing better flight patterns in regards to having almost 50 per week as of March 31, versus 35 most recently, still below 2019 levels. But what's encouraging, we're already seeing growth in LAX as well as San Francisco in regards to growth from China, with the weekly seats that are actually being purchased in advance. And then lastly, to Leslie's point, when we look at where we are completely outside of Asia, you know, you're in San Francisco, you have almost 100% now in January, February, because what's going on there is Korea, Canada, Singapore and UK have kind of taken the place of China, with China having momentum. So it's encouraging that international is up and we're seeing it going in the right direction. And that can only be upside to urban markets, as Leslie mentioned about New York and Boston as well. 
Operator: Next question, Dori Kesten with Wells Fargo. 
Dori Kesten: We've heard from some peers that they've seen a softening in their short-term leisure transient pickup of late. Have you seen any of that? 
Leslie D. Hale: Dori, I would say that leisure still continues to be a tale of 2 cities. And so, as I mentioned, our leisure was up 2 points in the first quarter, but urban leisure was up 3 points. And urban leisure continues to remain healthy, given our footprint and the demand dynamics. I would also say to you that if you deconstruct leisure down even further into rate versus demand, we all knew that resorts would pull back from its peak on rate, but urban leisure's rate continues to remain at or near its peak, and we haven't seen a degradation in that. And so from our perspective, what we're seeing in our portfolio is that leisure remains healthy. 
Thomas Bardenett: And then on the resort leisure side, again, smaller percentage of the overall portfolio. But just as a reminder, in our footprint, that's where our conversions sit, right? So when you think about Zachari Dunes as well as Santa Monica, we are having significant growth, as Leslie mentioned in the prepared remarks. And then Charleston continues to present positive growth based on what's happening in that market. So our conversions are a part of the resort leisure, in addition to some of the hotels that we mentioned in regards to the ROIs, as in Deerfield Beach and other locations that have had some renovation dollars helping us on other room spend as well. 
Sean Mahoney: Yes. And I think, Dori the latest month we have the segmentation data for is March. And I think that really tells a story for our leisure's ability to be able to backfill, particularly in the back couple weeks when group was soft. I mean, our March leisure was up 7% year-over-year, with resorts up 8%. And so what that demonstrated to us is the ability for our portfolio to capture that leisure demand because of sort of who our core customer is. And so I think that's the latest data points. Some of the things that you've seen maybe from peers, is probably more of a function of their leaning more resort than our portfolio, which is more urban leisure. 
Leslie D. Hale: And just one more data point that distinguishes our portfolio, Dori, is that our suite product, which I spoke about in my prepared remarks, also is very attractive during spring breaks with families, et cetera. And so we saw rate premium in that particular category as well. 
Dori Kesten: And then can you please update us on where you stand today with the NYC. Are you considering this a core or non-core asset? And can you just give us your read on the relative health of the New York transaction market right now? 
Leslie D. Hale: Yes, I would say, as we said on the last call, that when you look at the NYC in terms of its size, number of keys, its amount of meeting space, it fits perfectly within our portfolio. We have basically reduced our exposure to New York with the sale of the DT Met. And so we're very happy with our current footprint in New York. And we consider the NYC a core asset at this point in time. It's irreplaceable asset and an irreplaceable location, overall. In terms of transactions in the New York market, I would say, I don't think they're tracking any differently than the broader transaction market. Overall volume for the transaction market still remains constrained. While it's improving, it's still not -- it's still slower than we expected because rates have -- rate cuts have been sort of pushed out. 
Operator: Next question, Anthony Powell with Barclays. 
Anthony Powell: I kind of want to dig in more -- more on April because it's a -- looking at the STR data that we have, I think month to date in April, they're reporting a 4.8% increase in RevPAR. Same thing with urban, up 7.1%. So maybe you could talk about what you saw in the first half of the month in April. Did you not see that kind of Easter shift of rebound that the overall market did? And maybe talk about some market performance in April just so we can understand better what's going on there? 
Thomas Bardenett: Yes. So, Anthony, the first half obviously got the benefit of the Easter shift that Leslie talked about earlier. In addition to that, you had some anomalies like the eclipse that also provided a little bit of an uptick in some of those Sunbelt markets that you saw where they were on that path. In addition to that, I think the fundamentals held up pretty well in the first couple of weeks. So that's where you got the lead, if you will, going into the back half. But if you look at the most recent STR data this week that just occurred, industry was down 2.5%, Urban was down 8.8%, and most importantly, group was down 13%. So what happened this last week with Passover is now you decoupled Easter and Passover, which was at the same time to now having 2 different moments in time in April. So we had to look at every single week as a different week in regards to how it got to that point. But still, April as an overall did get the benefit of the front half. And that's why we were referring to the fundamentals of BT demand during the weeks that didn't have the holiday impact as a positive step in the right direction. So hopefully that helps you answer the question. 
Anthony Powell: Yes, I guess, I'm just kind of surprised that the first half didn't cancel out the second half, but it seems like the second half was a bit more impactful given the urban and group declines... 
Sean Mahoney: Yes, I mean -- I mean, I think this is sort of the last few days which are going to be impacted and have limited group activity are really going to move the needle for the month. We saw similar trends in March that were very strong in the first half. And so I think when you get next week's data, which is going to show the last few days, is where you'll see the impact. 
Anthony Powell: Got it. Okay. And maybe just one more in Southern California. I think that market has been a bit soft across the board for a lot of companies. So maybe talk about what you're seeing there in terms of demand for those hotels? 
Leslie D. Hale: Yes, I mean, our Southern California is actually relatively strong and performing well, Anthony. We were up 4.5% in the first quarter. San Diego has very strong citywides as well. As Tom mentioned before, conversions are in Southern California market as well. That market is strong -- has a strong BT base from aerospace and defense. And so I'm not sure what data you're looking at, but our Southern California is performing well. 
Anthony Powell: Yes, sorry, I didn't see the breakouts, but I think the STR data has been kind of weakened in LA, in particular, so. But you're doing better there. So that's good. 
Operator: Next question, Gregory Miller with Truist Securities. 
Gregory Miller: I would like to start off with a modeling question. What would you recommend we consider as we model operating expenses for the remaining quarters of the year? And I'm particularly focused on the other operating expenses line item, because to me, that's one that's harder to model, but in dollar terms, it's very significant. So I was hoping that if you can provide a little perspective in terms of how you think we should consider modeling that line item, in particular, OpEx, more generally speaking, as we shift from a relatively softer 2Q to a theoretically relatively stronger back half of the year? 
Sean Mahoney: Sure, Greg. I think, let me helicopter up to total operating expenses because I don't think we're going to be able to provide granular line item by line item guidance outside of what we've already provided for the full year guidance. But from an overall operating expense perspective, what we believe for the year is roughly in that high-5s to 6% for the year on total operating expenses. Within those operating expenses, the fixed cost, which is primarily property insurance and property taxes, we would encourage you to model sort of up low double digits for those 2 line items, which are roughly 10% of our expenses. But I think when you think about the cadence, right, so our first quarter, we were up in total operating expenses, mid-5s. On a per occupied room basis, it was sub-3. The variable costs were lower than that. But I'm defining variable costs or costs outside of the fixed expenses on a per occupied room basis, were up [ 1.6% ] and a little under [ 3.4% ] for whole dollars. But the way I would think about modeling is that as the year progresses, the inflationary pressures decline. And so I would model kind of that higher in the early quarters and have that weighing down. Now, I don't think it's going to be measured in 300 basis point spread between the first quarter and the last quarter, but I would just say incrementally a little better each quarter as the comps -- as we're comping against the period where it's just an easier comp to '23. 
Gregory Miller: Okay, I appreciate that. And then for my follow-up, this is more of a broader question on the full year guide. In order for you to achieve the top end of your full year guidance based on 1Q results and the 2Q RevPAR outlook that you've provided, what variables do you think have to actualize in order for you to hit that top end of the guidance? 
Leslie D. Hale: Yes, I mean what we said before was that our portfolio indexes to urban, urban indexes to BT. And so really as goes BT, as goes our portfolio, and that's sort of the way to think about it. I think that is the biggest input to your question. 
Operator: Next question, Chris Darling with Green Street. 
Chris Darling: Leslie, I think in your prepared comments you mentioned plus or minus 7% growth in out-of-room spend during the quarter. So pretty significant spread relative to RevPAR growth. What's your expectation for how that gap in growth between room revenue and non-room revenue trends throughout the year? Should we expect a pretty similar sizeable gap there? 
Sean Mahoney: Yes, for the full-year, Chris, this is Sean, we expect anywhere from 50 basis points to 100 basis points premium of total revenue spend -- total revenue growth versus RevPAR is kind of how we're thinking about the year. So, when you look at out-of-room spend, obviously that equates to a larger percentage when you look at those lines in a vacuum. But in total, when you think about total revenue growth versus room revenue growth, it's that 50 basis point to 100 basis points is how we're thinking about for the year. 
Leslie D. Hale: Right. And that's really being influenced by a lot of things that we sort of talked about before in our prepared remarks, and that Tom hit on as well from what we're doing in our public space and taking non-revenue generating space and turning it into revenue. 
Chris Darling: Yes. All helpful comments there. And then maybe a follow-up to the prior question. Leslie, you mentioned kind of as BT goes, the portfolio goes. Can you talk a little bit about what you're seeing on the larger corporate account side? I think we've heard from some of the brand companies that maybe there's a little bit more encouraging movement in that regard more recently? 
Leslie D. Hale: Yes, I mean, I would say that in general, BT continues to benefit from SMEs which remain very strong and healthy, and that we are continuing to see a ramp in national accounts on the corporate side. Industries from the tech and financial services, consulting, all of that is ramping up. And in general -- but it's also being aided by the return to work mandates that we're seeing as well. And so, I mean, Tom can give some additional color, but big picture, it's strong. I think the other thing that's worth noting as well is that what we're seeing on the BT side is that it is balanced between rate and Occ. It's not just one or the other. And that is a very important point as well. 
Thomas Bardenett: Yes. And I think that's where I was going to add some color, Chris. When you think about it, so the RFP season was healthy. We had rate growth. So you automatically have that as a backdrop when the national corporate accounts come back with demand. And so what we're encouraged about is the demand was just as healthy as the average rate. And that's where we see the growth on day of week. Our Monday, Tuesday, Wednesday is where our most significant growth in RevPAR was in the first quarter. We don't see that changing. That's where the opportunity is because that's where you look at the [ percentage of 19 ] is still from an occupancy and demand standpoint still in the low-90s to high-80s. And so that's where we think BT can give us that RevPAR lift. From an account standpoint, Leslie is right, national corporate is where we see volume increasing, and I think you heard that from the brand calls already. And that's where you're seeing some additional demand coming in on those days. As far as return to office, the highest amount of people going back to the office is, you know, Tuesday night at about 61%, 62% nationally for our industry, and the lowest demand is Friday at 34%, no surprise, right? So Thursday is still a check-in day for weekends, and midweek we see that office demand, that's the Monday, Tuesday, Wednesday that we're trying to yield with that BT coming back at those moments in time. 
Leslie D. Hale: And that midweek is translated into 2.5% growth for us in the first quarter. We're still seeing that strength. And May is a month that generally benefits significantly from BT. 
Operator: I would now like to turn the floor over to Leslie Hale for closing remarks. 
Leslie D. Hale: Thank you, everybody, for joining our call. We look forward to seeing many of you over the next several weeks at various conferences. For those of you who don't see us -- who we don't see, we hope you have a great summer. Thank you, everybody. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.